Operator: Greetings and welcome to the International Money Express Inc. Fourth Quarter and Full Year 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded.  I will now turn the conference over to your host Mike Gallentine, Vice President of Investor Relations, you may begin.
Mike Gallentine: Good morning, everyone and welcome to our quarterly earnings call. This conference call includes forward-looking statements, including our 2021 guidance. Actual results may differ materially from expectations. For additional information on International Money Express Inc., which we refer to as Intermex or the company, please refer to the company's SEC filings including the risk factors described therein. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements on this call are based on assumptions and beliefs as of today. Please refer to Slide 2 of our presentation for a description of certain forward-looking statements. We undertake no obligation to update such information, except as required by applicable law. On this conference call we discuss certain non-GAAP financial measures. Information required by Reg G under the Securities and Exchange Act with respect to such non-GAAP financial measures is included in the presentation slides for this call, in our earnings press release and our annual report on Form 10-K including reconciliation of certain non-GAAP financial measures to the appropriate GAAP measure. These can be obtained in the Investors section on our website at intermexonline.com.  Presenting on today's call will be our Chairman, Chief Executive Officer and President Bob Lisy and Chief Financial Officer Andras Bende. Also on the call today is Joseph Aguilar, Chief Operating Officer and Randy Nilsen, Chief Revenue Officer.  Let me now turn the call over to Bob.
Bob Lisy: Good morning and thank you for joining us today. We have a lot of great information to share with you and we look forward to answering your questions following our prepared remarks.  The past year has been an unprecedented period of challenge and change, and a set of events that none of us ever imagined experiencing. While people and organizations are tested through this kind of once in a lifetime experience much can be learned about the quality, stability and resiliency of those people and organizations. I'm proud to say that I have never been more appreciative of or grateful for our agents, consumers and employees than during the challenges of the past 12 months In large majority of cases our agents continued to be opened for business throughout the pandemic to serve their communities and the needs of our mutual customers. Our customers, many of whom deemed essential workers continued to work every day, in many cases risking their health in the process to provide for critical and essential needs to their families in their own country. During this time our employee stayed focused on what we could accomplish through innovative and modified work practices while supporting our retailers and delivering continued excellence and service to our customers. Simply said when COVID-19 arrived the strong foundation on which our company has been built along with their nimbleness to pivot quickly delivered industry leading growth throughout this extremely challenging and unprecedented time. We take a responsibility providing a critical service to millions of hardworking individuals who sacrifice so much to provide for their families very seriously. We provide a critical service that millions of people rely upon to provide for basic needs such as food, shelter and medical care for their loved ones back home Our agents are carefully screened as we are seeking retailers who share our passion to deliver for our customers. Once the agent becomes part of the Intermex team they are treated with respect, and dignity. They are viewed as our partners. We support them in every way possible to provide the best service for our mutual customers and serve their communities with pride, but we do this by providing our agents with solutions for their business through state of the art equipment, technology and world-class service. Our customers are at the center of all we do and we aim to provide industry leading service on every transaction. We achieved this by providing the best customer payer network and service experience in the industry. Lastly, at Intermex we value our employees, and we have created an environment in which they can and will excel. We ensure that they have the tools and support to continue to perform their jobs at an exceptional level even during these trying times. We feel we have created a strong bond with our employees. We are not forced to rely on layoffs or pay cuts during 2020 as some of our competitors did. We've recognized there likely would be a service shortfall related to our competitors. Instead of contracting during the pandemic, we quickly adjusted our efforts to enable us to continue to aggregate market share by mobilizing our sales team to expand their reach with our retail network remotely. As a result, we continued to grow revenue on remittances throughout the year. This business philosophy is the foundation the company is built upon and I believe it's what enabled Intermex to have such a record year and exceptional fourth quarter while there is struggle. Let me highlight on Slide 3, some of the full year 2020 metrics, the company achieved. Net income grew 72% to $34 million. Since 2018, net income has increased by 350%, adjusted net income grew by 30% to $42 million. We increased adjusted EBITDA by 19% to $68 million in 2020 and over the last three years, it has increased by 105%. We grew revenues 12% to $357 million despite the effects of the pandemic; especially in second quarter. Since 2018 we have increased revenues by 66%. These results were driven by our hybrid strategy of continuing to grow our targeted high quality, high volume agent network along with making disciplined cost-effective investments in new products. These investments include our digital apps, card products and expanding our send and receive markets. Throughout we continued to provide the highest quality of service in the industry.  Our results in fourth quarter, were even more spectacular on Slide 4, net income was $10 million an 80% increase compared with prior year period. Adjusted net income of $12 million, an increase of 54% over the prior year period, adjusted EBITDA increased 32% to $19 million and revenues grew 19% to $99 million. These totals in revenue, net income, adjusted EBITDA and adjusted net income are all quarterly records for us. This is an amazing performance given today's environment. On the next slide, you will see that our peer leading financial performance has been fueled by our strong growth in transactions, both in our core markets, as well as our emerging markets.  In fourth quarter of 2020 we produced the best quarter ever for remittances producing $9 million net transactions, an increase of 18% over fourth quarter 2019. Transactions in some of our emerging markets such as the Dominican Republic, Ecuador, Nicaragua, Brazil, Kenya and Ghana are growing much faster than our overall business. Total our less developed markets increased transactions by 33% compared to fourth quarter of 2019. This strong growth in remittances in our emerging markets is also evident as seen on the chart. While our growth slowed in second quarter in the height of the pandemic. These markets are now growing as fast as they were pre-pandemic and they are growing at almost twice the rate of the overall company.  On Slide 6, the strong multi-year growth in transactions that led to a significant increase in market share. In our core markets of Mexico, Guatemala, Honduras, El Salvador -- and El Salvador which are 75% of the entire Latin American market. We increased our share by 100 basis points from 2019 to 2020. We now have a 19.4%market share in these core markets. In fourth quarter of 2020 in the same four markets Intermex achieved a monumental 20% market share for the first time. Since the end of 2018 Intermex increased market share by 210 basis points in these core markets. If we go back to few more years, the company has more than doubled its market share in these key markets, validating our differentiated strategy and world-class execution. This long track record of transaction in market share increases translates into revenue and EBITDA growth. So far in 2021, we have continued where we left off last year. We are experiencing continued strength in remittances with January, and February, running 19% above 2020 levels. On the next Slide, more recently, we have continued to experience strong growth in our mobile app with transactions, increasing 125% versus the prior year. Additionally, the number of overall wires that were deposited directly into bank accounts increased 50% and that now were since 20% of overall wires. We have increased our focus on our investment in the digital offering in the fourth quarter of 2020 and have continued to build out our digital organization. We expect our new and enhanced app will be completed by the end of second quarter 2021. Andras will highlight some of the additional investments they were anticipated making related to the digital opportunity that we see developing in the coming years. In 2020, the company continued to modify its capital structure on Slide 8, the company completed a follow-on offering in conjunction with certain original shareholders selling 5.7 million shares. In 2019, the company completed a secondary offering, where certain shareholders sold over 6 million shares to their stock. Also in 2019, the company purchased or converted into shares of common stock. All of the outstanding warrants, which were part of the original capital structure. As a result of these transactions no single shareholder owns more than 10% of the company and there is no risk of potential dilution for warrants being executed. Additionally, on Slide 9 in 2020 two Board members retired an independent Lead Director was appointed and the company completed a process that started in 2019 to transition to an independent board. All of these actions diversify the company's ownership structure, reduced or perceive stock overhang and improve the average daily trading volume and strengthened our corporate governance.  In closing, the underlying appeal of our business model with highly productive localized agent network and superior service quality enables the company to consistently deliver strong financial performance in challenging times and in good economic times. Our model also provides a high degree of predictability in the business and generates market share increases, double-digit compounded revenue, adjusted EBITDA and net income growth. This enables us to reinvest in attractive growth opportunities to provide additional future returns. We remained confident that our philosophy and dedication to profitability and sustainable growth will continue to drive a significant competitive advantage for Intermex. With that let me turn the call over to Andras Bende.
Andras Bende: Thanks, Bob, and good morning to all the analysts, investors and customers that have joined us. My comments will now focus on our fourth quarter results and our full year guidance for 2021. You can find the full-year 2020 results in our press release and the attached financial schedules.  Turning now to Slide 10, let's walk through our fourth quarter results in a bit more detail. As Bob mentioned, the company had a record-setting fourth quarter across just about every one of our key metrics. It's even more remarkable considering most of the country is still operating at limited capacity while in 2019 we're still in the old normal, it's a testament to how resilient our customers and employees are and shows what a solid operating component the team has built at Intermex. In the quarter, driven by an 18% increase in remittances, we generated record revenue of $99 million, an increase of 19% over the prior quarter. The company has continued focus on growing a world-class high performing agent network while making measured investments in other products and revenue streams like digital has enabled Intermex to generate double-digit percentage revenue growth every quarter since entering the public markets except for the second quarter of 2020 which of course was the height of the shutdowns. In the fourth quarter, the company delivered record net income of $9.6 million an increase of 80% versus the prior year. And in Page 11 you can see that translating to an adjusted net income of $12 million, an increase of 54% versus the prior year. A strong increase in revenues, coupled with a continued focus on efficiency helped generate adjusted EBITDA of $19 million of stout [ph] 32% increase over the prior year quarter. This growth outpaced revenue growth, as we generated leverage from the ongoing migration to lower cost deposit services and reductions in cost to our payer network. As Q4 was still rides with uncertainty we're also very judicious in expense management as we held professional fees, travel and advertising spend to a minimum, which provide an additional tailwind to our financial results.  As with revenue Intermex has a long and successful track record of generating adjusted EBITDA growth in double-digit percentages every quarter since trading in the public markets. Even in the second quarter of 2020 during the height of the shutdowns Intermex generated double-digit adjusted EBITDA growth clearly something that the other remittance companies just can't say. Adjusted EBITDA margin for the quarter was 19% that's an 180 basis point improvement compared with the fourth quarter of 2019. This is very healthy for a public company of our size. However as we'll outline a little more in our guidance, we expect adjusted EBITDA margins to come down a little more in line with our historical results as we invest in our digital offering and other growth initiatives increase their advertising expense and employees begin to travel more. Moving to Slide 12. Our strong operating results in the fourth quarter and full year 2020 demonstrated the resiliency of the business strategy this further underscores our confidence in the business model and we will return to providing full year guidance for the current year. Assuming the worst of the pandemic is behind us and based on recent trends and some historical seasonality, we expect to deliver the following for 2021.  Revenues up between 16% and 18% versus prior year that means $414 million to $421 million. Adjusted EBITDA up 11% to 14% versus prior, which means $76 million to $79 million. Adjusted net income between $47 million and $49 million, that's up 12% to 15% versus 2020 and GAAP net income between $40 million and $42 million, that's up 19% to 24% versus 2020. It's worth noting that our strong EBITDA growth percentage in '21 will not be quite as dynamic as our revenue growth, as some of our 2020 cost tailwinds dissipate, but we'll also be making some key investments in the future of our business. Our investment will be centered in three key areas first and foremost enhancing and upgrading our IT systems as we continued to transform our ecosystem to more modern architecture, that's going to mean quicker time to market enhanced integration capabilities and a better experience for our partners' vendors and customers. Second, investment related to our digital business itself as we look to cost effectively grows the user base. Based on some early initiatives starting in the second half of 2021 when the new world-class app is available. We expect to significantly increase marketing spend to capture a greater share of digital. Finally, we will continue to invest in our talent pool as a public company with specific focus on key leadership positions, front-end growth in technology. From a quarterly perspective, we expect the second quarter will have the highest growth rate because of the 2020 comparatives which were heavily impacted by the shutdowns the first quarter should also exhibit relatively strong growth due to some 2020 shutdown impact and this is, even despite the February weather impacts of this year. And then the third and fourth quarters of 2021 should be better benchmarks for the underlying business growth trends. In closing, our continued focus on high quality, high volume agents along with delivering a differentiated, quality of service continues to drive our growth and gains in market share. As Bob highlighted at the beginning of the call, over the past three years Intermex has grown net income of 350%, adjusted EBITDA 105% and revenue 66% on that backdrop, we're forecasting yet another year of double-digit growth on all of those parameters [ph]. With that let me turn the call back to the operator for questions.
Operator: [Operator Instructions] And our first question is from David Scharf with JMP Securities. Please proceed with your question.
David Scharf: Yes, good morning everybody. Thanks for taking my questions and congrats Bob on obviously navigating a very challenging year for all of us. First question has to do with just the geographic reach, when I saw the footnote on the slide with emerging markets I guess kind of lost track of just how many received geographies you're in now particularly in Africa. Can you just provide an update and as we enter 2021, what percentage of the business from a revenue standpoint captured by those emerging market?
Bob Lisy: All right, we don't disclose Africa by itself Mike. So David I'm sorry. But if we were to and we don't normally look at the percentage of the business that is the rest of Latin America by itself, but it's a significant piece today. I mean between Mexico, Guatemala, El Salvador and Honduras, although there are large share of our business. There's 10s of millions of dollars in revenue to countries like Dominican Republic, Colombia, Ecuador, Peru, Nicaragua and others, and as we've talked about many times we really built the business intentionally to build out Mexico first being the most profitable market in terms of gross margin and the largest market by far. And then secondarily Guatemala and then from there, obviously, El Salvador and Honduras, we continue now with the next largest receive market in Latin America's Dominican Republic and that's been growing tremendously for us, sometimes more than 40% year-over-year. So that grouped together is growing very quickly and it's a significant part of the business, but there is a huge upside. Africa is still a small piece. We've only been in Africa, a little over a year and it's, there is some complexities there because it's not when we talk about Africa we talk about it is sort of monolithic but it's many different countries obviously and some different language barriers and things, but the core of that market is really going to Nigeria, Ghana and a couple of other countries and we are beginning to grow that, but we haven't disclosed how many or how big of a business that is for us today, as of yet.
David Scharf: No, no, understood and I guess the main reason I'm asking is, obviously back when your core market was designed [ph] or maybe just you had 10%, 15% share not the 19%, 20% you have now. We were a client that closely track on go to Mexico data try to get a sense for how US the Mexico was trending but with a much broader geographic reach now in mix just trying to get a sense for, if there are other leading indicators, but we...
Bob Lisy: Yes, there are clearly huge opportunities with about four or five countries in Latin America and when you get to and you had the Dominic Republic Colombia, a couple of other countries. Now, you start to get to approaching 90% of the market. So we've talked about, it's a really concentrated market 75% in just those four countries where we're really focused, but still tremendous opportunity for instance Dominican Republic is just as large as a receiving country as El Salvador, Honduras which means that we could triple our business very easily and still have headroom to grow and Colombia is another market. So we've got a lot of Greenfield in both of those areas. They're heavily concentrated markets Dominican Republic, really generally the East Coast, Boston, New York and Florida, Colombia is pretty concentrated in the East Coast as well. So they're not markets that are as pervasive as Mexico, Guatemala and easier for us to really tap into as now we've already built that base.
David Scharf: Understood. Hey just maybe one follow-up a different topic, on the digital front, I know it's very nascent at this point, but I'm curious you had referenced that 20% of overall wires from Intermex are deposited directly into bank accounts.
Bob Lisy: Correct.
David Scharf: I would imagine on the receive side that kind of one of the big barriers for digital adoption. I think that, that may be the first time I've heard that metric. Can you just provide some context over the last, like three years is that generally been...
Bob Lisy: Yes, no, it's growing, I mean, and you know a lot of the payers are either banks or their have subsidiaries that are banks like Electro [ph] is a big player in Mexico, it has Banco Azteca, [indiscernible]; and so, all of them have been on a push. And I think through trying to create accessibility to financial services in Mexico, the government has been trying to up to encourage more bank accounts in country in Mexico. Now, the challenge for that is we think that those folks those 20% are with their sender probably less resistant to the online business. It doesn't mean necessarily that the sender on this side of the border is equipped with a bank account in the US to do a wire. But we do think it's an indicator of moving more digitally. And like you say 20% now of our wires and it's been growing very, very quickly some of the banks couple of very large share you know as high as 30% or more. And even in Guatemala, there's a couple other big banks that are very high in terms of percentage of deposits into bank accounts. So we see that movement going on, but we don't necessarily always correlated to willingness or acceptability to originating side with digital or online.
David Scharf: Right. Great, got it. Thank you very much.
Operator: Our next question is from Mark Palmer with BTIG. Please proceed with your question.
Mark Palmer: Yes, good morning and again congratulations on a really strong quarter and a great display of resilience during the pandemic. As you mentioned, the company really adapted well to the environment while others have struggled, can you talk a little bit about the competitive environment we had seen discounting and in certain states prior to the pandemic what are you seeing both in terms of competition and pricing at this point.
Bob Lisy: Yes. Thanks, Mark. I think that. I'll start off. But just talking a bit about what we did very quickly when we saw the beginning of the pandemic. I mean we had a couple of choices to make, we knew that our sales force, the sales force that interacts at retail with our agent mid-network would be not mobilized would be stuck at home for some period of time and we have the choice like many of our competitors to either kind of pull back and retract a bit maybe lay people off, maybe cut some salaries and we kind of double-down. We right away went to our sales team and said, you know what we're going to keep you whole for a certain period of time until we sort of figure this out and where COVID is going. But here's what we're going to ask from you. So normally, they were out calling on X number of retailers in a day. So we said you're stuck at home but the retailers are still open in many cases and we need you to contact about five times as many retailers a day by telephone. So actually it was interesting for us, we actually expanded our reach by five times what it normally had been. Now wasn't the in-person visits, but it was the over-the-phone. And we think it have a lot to do with while everyone else was kind of pulling back, we were actually more aggressive at least contacting more agents on a daily basis by the phone versus less agents in person. As that happened, we think that we not only held service in our retailers, but remember in most cases we're alongside of other companies and most of those other companies did not execute nearly as well.  In many cases they became fearful early on and created layoffs or created pay cuts created a bit of de-motivated sales force. While our sales force felt pretty secure and also pretty willing to go out and be assertive and aggressive at retail and that helped us a lot. I'm going to have Randy Nilsen, as you know, our Chief Revenue Officer though who's obviously a lot much closer to what's going on at the field comment a little bit further on that Randy?
Randy Nilsen: Yes. Thanks, Bob. Hey Mark. Bob is exactly right. I think the point I'd like to stress is our field team was extremely motivated the entire year. Bob and I made the decision to keep their commissions whole during this challenging time. So we had a very motivated sales team that was out working hard, the entire year and bringing in great results. Of course, I want to address a little your question a little about the price compression, what we saw as you know, we've generate revenue on two streams fee income and FX income both were really helped us last year as the average principal the amount people were sending home increased. So our fee per transaction, actually increased as the principal increased as did our FX revenue. So, while there many have been a little bit of price compression on the amount of FX that was being offered on each transaction, it was offset by the amount being sent, so our gross margin and our revenues per transaction were actually remained very healthy, if not a little better than the year before. Does that answer your question?
Mark Palmer: It does. If I can just ask one quick follow up along those lines, what do you believe were the drivers of the larger principal per transaction during the pandemic, and do you anticipate that that's going to continue as the pandemic abates. And thanks. 
Bob Lisy: You know we think as far as we can conclude at this time that there are greater needs as greatest the needs were here in the US that people back home in Mexico and Guatemala were hit even harder in terms of the pandemic and whereas most of our workers were essential workers our big share than were essential workers and others were nimble enough to find movement away from areas where they couldn't work either verticals that were closed down like restaurants or even geographic areas that they moved to, to stay employed. So they were working and the needs back home really increased a lot. And so we think that had a lot to do with it. We think in terms of our Mexico market because so many of those folks are in like the food processing or picking of crops and agriculture and things like that that stayed really, really stable. And those folks had the equal amount of money and the needs were bigger back home. As we created our budget for 2021 we haven't really considered that the principal amounts will stay at that level all year. So far during 2021 we've seen principal amounts staying relatively high, and they're you know, 10s of dollars, you know, $30, $40 higher than what they traditionally have been, so far we've seen them at those levels. But it's not something that we've, you know, felt that we could take for granted throughout the year. So much of the stuff you hear us talk about for 2021 is assuming that those principal amounts come back to the normal average amounts throughout 2021. Although again, through the first couple of months, they've remained high, looking more like what they were in 2020.
Mark Palmer: Thank you. Welcome.
Operator: Our next question is from Mike Grondahl with Northland Securities. Please proceed with your question.
Mike Grondahl: Hey, guys, congratulations on the quarter and the outlook for 2021. Maybe Randy, just staying with the field Sales force for a moment. Did you hired all during 2020? Did you expand that Sales force, and then anything to call out in any U.S regions where things maybe came back quicker or more resilient, or even a little slower than what you might have thought? 
Bob Lisy: Yes, thanks. Good morning, Mike, good to hear from you. Let's take the geography question first. Yes, surprisingly, our Northeast region, even though it was the hardest hit early on, continued to perform extremely well, we're really proud of that team and the resilience they've had all year and really, for a couple of years now. We've upgraded the team, for sure, we took advantage of the opportunity, we upgraded our sales team throughout the year, we hired three tremendous sales leaders that we're really excited about in September, and they've made an early contribution, we added two more tremendous sales leaders in the beginning of December that have come in and made an early impact. So we like the way our team has structured. If you'll remember, fourth quarter 2019, we have several vacant positions that we think slowed our sales down a little bit. And if we compare that to fourth quarter of 2020, we have many more feet on the street, and we were more productive per headcount in 2020, than we were in 2019. So all in all, we stepped up, expanded our team, and we're more productive. 
Mike Grondahl: And it's great to hear it. And then just maybe as a quick follow up. The three things you guys called out is kind of key investment. Any rough dollar rains, that's kind of going to those as a bucket just so we can kind of gauge it. And you know, kind of think about 2022 and going forward if those are continued to be needed?
Andras Bende: Yes, this is Andras. Mike, I think the best color we'll give you on that because some of it particularly marketing spend in digital is something that with this kind of sensitive we want to keep on our own is, is that the guidance that we said of coming back to more normalized margins. So I think between our investments in IT, investments in digital business itself, and investments in our talent pool, I don't think we'll be up at the 19% adjusted EBITDA. I would expect us to come between 18% and 19%.
Mike Grondahl: Got it. I hear it. Hey, guys, thanks a lot. 
Operator: [Operator Instructions] Our next question is from Justin [ph] with Credit Suisse. Please proceed with your question.
Unidentified Analyst: Hey, Bob, Andras, , Mike, how's it going? Good to hear from you. So I wanted to follow up a little bit on the prior conversation around some of the more nascent markets that you guys are in, in Latin America, such as Dominican Republic, Colombia, Peru, Nicaragua, etcetera. Nice announcement earlier around them growing 2x the company average about, just trying to dig into that a little more. I mean, can you unpack the growth algorithm how you expect that to kind of fuel transaction growth in this mid to high teens in the future? Meaning, you know, how do you expect to gain share they're given some of these are kind of less United States space, meaning they're getting sent from perhaps other countries within Latin America such as call it you know, Costa Rica sending over to Nicaragua? Is there an opportunity there to expand your send [ph] capabilities into other Latin American countries for kind of an inter Latin America exchange? Or are you looking perhaps to further gain share elsewhere in the States or maybe just again, unpack that growth algorithm, especially in some of these more nascent countries?
Bob Lisy: Well, there's a lot of questions there in one. Let me start out first with our growth trajectory. Although, it'll be very much contributed to by US outbound to countries like Dominican Republic, Ecuador, Peru, Nicaragua, Colombia, it is not dependent on that. There's still a huge amount of growth for us. If you look at our growth trajectory, that still exists the way we're gaining share in the four core markets, which are 75%, of Latin American business, US outbound. There's still a lot of growth there for us. We've continued to gain share, not only in the newer ones for us, Honduras and El Salvador, but in Guatemala and even in Mexico. There's a lot of opportunity there. As we look at Dominican Republic, whenever we talk about share, we're talking about opportunities US outbound, we don't look at-- yes, there's some business with Dominican Republic even from Europe and unusual as it might seem, even from countries like Switzerland to Dominican Republic, but we focus on the US market size. The US market size of the Dominican Republic, for instance, just to pick one is, it is about the size of El Salvador, Honduras and yet, we do about a quarter as many wires to Dominican Republic. Also, remember, we have a growth trajectory in El Salvador and Honduras. There's a tremendous amount of growth that's available from countries like Dominican Republic, from Colombia, Ecuador, Peru, Nicaragua, and others US outbound exclusively. Now, you bring up a good point, it's something that we're taking a look at and we don't want to say too much about, because there's not a lot of folks in that arena. We also do believe there's a lot of intra Latin American business. For instance, Dominican Republic is a big receiver from Puerto Rico. Today, we really don't send wires from Puerto Rico to Dominican Republic, but there's also a lot of wires internally within what we would think of as Central America, Costa Rica to Guatemala, Guatemala to El Salvador, Mexico to Guatemala, Guatemala to Mexico. We think that with our current pair network, and our branding, that there's an opportunity there that we are looking at, but again, we don't want to say too much about that in any plans that you see or hear of that we talked about, are really talking exclusively about the growth we believe we have to our core markets, which I think is still significant and then along with those secondary markets to Latin America. Of course, Africa and other new countries where we're servicing. We don't have to have tremendous growth to those secondary countries, to have great growth. There're so many opportunities that if every lever was absolutely played out perfectly, any one of those levers can drive the kind of growth that we need. They all have their different challenges, but as I said, we still have tremendous growth, particularly in the West. We've been growing in the West forever. We have some states that we've grown tremendously, like Arizona, but we're still relatively underrepresented in the western states versus the eastern states and still a tremendous amount of work to do there and a tremendous opportunity to access just with our core markets. We think there's opportunity everywhere, if it makes sense, but you did hit upon something I think that's really valuable, that inter Latin America kind of transaction is something that we are looking at and we think that there's an opportunity there. We're not at that point yet and it's certainly not anything we have suggested in any of our planning for 2021.
Unidentified Analyst: Got it. That's super helpful. And I guess, the thought was coming around you have a massive payout network already somewhat at scale there and it would seem perhaps a logical next step to turn those just in descending markets. One quick follow-up, if I may, regarding digital and thank you for the disclosures around the transaction growth there. I just wanted to parse through the growth. Would you say that is more from a tougher comp dynamic or would it be more of a shift, like you saw a big shift in Q2 to digital just due to lockdowns and such, and given you're more focused on brick and mortar, was that more of a just return to in store or is that a tougher comp issue? Thanks so much for the time, again.
Bob Lisy: First thing we want to make sure we get kind of out of our language is brick and mortar. We're no more brick and mortar than Airbnb is. I mean, we don't own brick and mortar. The 7500 agents, we have our agent retailers, they own the brick and mortar, we provide a service. The service we provide is digital and the only difference between what the marketplace calls digital and what we do is that digital is extended to the hand of the consumer versus sitting on the agent retailer's desk in terms of their PC. I want to make sure we were clear about that. It's one of the great things about our model versus models that might have a lot of brick and mortar and leases of their own. I think we have about 7500 agents who may have about 30 some retailers that we actually own the lease on the building. Most of our business is not really brick and mortar in a traditional sense. It's an outlet that we're someone else's brick and mortar, that we're using as a window of commerce to the consumer. Going on further with the whole online business, we did see a movement in second quarter that everybody saw online. As we look at our research, we're seeing people that are actually some people who are, it's an interesting concept that have come first time to us at least, an online transaction, and then actually moved to a retail transaction and primarily our retail now. We're seeing people that are going to both and we're seeing people that have migrated to one or the other. Overall, we're not seeing a huge amount of crossover, but there's actually in our numbers are not huge numbers, but in our numbers, we've seen more people come to us to start with in digital and then go back to over-the-counter retail, then we've seen people come to us first in retail and go to digital and stay digital. It's sort of an interesting thing, which for us kind of reinforces that we know that digital is going to be a growing part of the market. There may be a very different customer group right now. That's what we're generally seeing and I think other competitors have said similar things. The other part is that there seems to be a great amount of resiliency and determination to stay at retail for those people that are at retail. We think though that the retail business, if you talk to any of the people, primarily most of them that are pure player, not public companies. They don't necessarily disclose reports out there, but the biggest cost in the digital business is going to be the customer acquisition cost. It's how much do you want to spend to build a customer base that you know at this time is very, very expensive to build? How do you build that? We think that the best way for us is to build that through, the fact that we have 4 million distinct customers every year, and we want to be very respectful of our retail network and our partnerships at retail, but we also think that we're much better positioned than the pure player to be able to win consumers that are today at retail, are interested in moving to an online transaction. We're well positioned because we have a relationship with them. We think that the companies that find a way to be in both, by the way, and I can't disclose who, but I've spoken to about three or four online guys who all say, we think the best thing is to be evolved. These are people that have pure play. I think that the company that finds a way to be able to be offering both alternatives to the consumer, in doing that not to necessarily be forceful in moving people from retail, that could actually be detrimental to that very high quality and profitable business are going to be the companies that's further ahead. those are the things that we look at. How to best serve the consumer while staying very focused on both sides of the equation? Because we think five years from now, even 10 years from now, you're going to need to be in both sides particularly in certain markets. That may not be the case in India or the Philippines, but it's going to be the case with the markets that we're primarily focused in that both sides of that equation are going to continue to be important.
Unidentified Analyst: Got it. To summarize, it does sound like a decent amount went to digital for one or two transactions than boomerang back to using online?
Bob Lisy: Not really, that's not correct. More people came to us initially online, just never saw before, and then went to retail after they knew us. Then people that came from retail and went to online and stayed online. Most of the people that converted, kind of went in both. They integrated back and forth. We didn't see a lot of people. We don't have a huge online business, but we have tens of thousands of transactions per month. We certainly have a big enough sample size. We're not seeing that a lot of consumers, big share consumers are left retail to go to digital and stayed there. We're seeing actually the opposite that more people actually started an online and went to retail and stayed there, the opposite. Interesting thing we've seen.
Unidentified Analyst: Thank you so much.
Bob Lisy: You're welcome.
Operator: Our last question is from Josh Beck with KeyBanc. Please proceed with your question.
Josh Beck: Thank you for taking the question. I have a two part. Maybe if you could just share anything that we should be thinking about Q1 seasonality versus prior years? You obviously gave some helpful guide post on Q2 being the high watermark for year-over-year growth, but not sure if there's anything else you can elaborate there. This might be a bit tricky to do, but just as you'd think about '21, could you help us understand what you're expecting in terms of market growth? I know that's a really difficult one and there's probably a lot of range of scenarios, but any color on those two points would be appreciated. Thank you.
Bob Lisy: Let me start with the second first. I think that may not be easier, but it's a quicker answer. We see Mexico remain really strong throughout 2020, surprisingly so. Not because we didn't think it was a resilient market, but it was so strong and came back so quickly, that even our mix shift at times of the years started to shift more back to Mexico versus all other countries. Not meaning it was bigger than all others, but it was growing faster than all others for a period. We started to see that stabilize again. The core of the business Mexico, we would think we'll probably be in the least the middle, if not the high single digits. It could be as high as 9% to 10% year-over-year. We have seen it be a little bit choppy month to month right now, but I think the average has been in the high single digits to even as high as 11% or 12% on the average. It's performed extremely well. Guatemala and other countries have been a little softer. El Salvador, Honduras particularly during the height [indiscernible] through COVID, but during the height of COVID, we saw times where those countries really struggled in receiving because banks would be closed on particular weekend days, which caused there to be really unpredictable demand and days were just off and all of that, and the overall numbers were weaker. I think, when we look at the market, we're pretty optimistic about 2021. Mexico has remained strong and we think some of the other countries will be lapping relatively weak numbers. we expect them to stay pretty strong. As far as the first quarter, year-over-year, 21 versus 20, we're really dealing in a world in in January and February of 21 versus 20 of a very normalized world. I mean, most of us, didn't hear much other than a blurb here or there about COVID until we got into March. In March, the business became really volatile. It's the first time in history that I've been around this and we've got folks in the room between Joseph, Randy, and me that had been around the industry a long time, where we saw the Peso actually trade and move in terms of Pesos overnight and not Centavos, where a couple of times we saw during March where the Peso went from 21 to 23 or 23 to 21 overnight, which was completely different and new and nothing we've ever experienced before. That led to March being really crazy last year. We think we've got a good comp, because there were times in March where everybody was rushing and sending and you had really crazy comp days. Overall, as a month, we think we've got a good comp to March of last year. The first quarter, having started off really strong for us, it would have been a lot stronger. There were two things that happened in February. One is, we knew this, we're going 28 days to 29. So right away, you have a 2% or 3% decline in growth because of that. Second, the snowstorms that hit really hard in the south and the southeast and even in Texas. Really, there were days where those markets were virtually shut down. Even coming through that, we still were around 18% to 19% transaction growth year-over-year. March is a good comp. We should come in really strong in March. Too early to predict, but the business in that month last year was really choppy. Then of course, the remember for us, we didn't really have a horrible second quarter last year. We had a horrible April, but we popped out pretty quickly. We versus a lot of our competitors don't have the easy comp that they have, because we didn't go fall through the floor. We actually grew in the EBITDA in second quarter last year 20 versus 19. So we have a good comp, but we don't have a comp that's like some of our competitors where they might have contracted by 20% in EBITDA or in net income in second quarter of 20 verses 19. So it'll be a good comp for us, but it's not nearly as good as some of the others because we had such a strong second quarter, relatively speaking, compared to the market in 20.
Andras Bende: I think the fact that we're two months through 2021 with those snowstorms, still running 19% above 2020 levels and headed into a good March come, I think Q1 is going look pretty good and Q2 is obviously going to be our biggest comp quarter. If you benchmark Q2 versus some of our competition, as Bob said, we might not stand out as much, but it's going to be a good comp for us.
Josh Beck: Really helpful. Thanks, guys.
Operator: We have reached the end of the question-and-answer session. I'll now turn the call over to the chairman and CEO Bob Lisy for closing remarks.
Bob Lisy: Thank you all for joining us on this first quarter call. Happy to have 2020 behind us, it was a year of a great deal of challenge. We're really proud as a company that were able to grow the way we did, keep our employees fully employed and kept the company strong. I think it's been a testimony to the real sustainable growth, and in profitable growth, that we built into our business. It's a bit of an old-fashioned business in some ways, but that old-fashioned business held up like the house of bricks that we've described it many times. We're really proud of the results and the results that this team and the rest of the team has developed and created in 2020. We're looking forward to a great 2021. We thank you all for joining us, and we look forward to talking to you all soon.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.